Operator: Thank you for standing by. My name is Gail and I will be your conference operator today. At this time, I would like to welcome everyone to the AEye Q4 2024 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. I'll now turn the conference over to Jeremy Apple [ph]. Please go ahead.
Unidentified Company Representative: Good afternoon, and thank you for joining AEye's fourth quarter 2024 earnings call. With me today are Matt Fisch, Chief Executive Officer; and Conor Tierney, Chief Financial Officer. Earlier today, AEye announced its financial results for the fourth quarter and full year of 2024. A copy of this press release can be found on the Investor Relations section of the company's website. Today's discussion may include forward-looking statements as defined in the securities laws and regulations of the United States with reference to future events, operating results, or performance and are based on our current expectations and assumptions. Any forward-looking statements are subject to inherent risks, uncertainties, and changes in circumstances. Our actual results may differ materially from those contemplated by these forward-looking statements. You can find more information about the risks, uncertainties, and other factors in the reports AEye filed from time to time with the Securities and Exchange Commission, including in the most recent periodic report. The statements to be made are as of today only, and AEye does not intend to update any forward-looking statements regardless of any new information, future developments, or otherwise, except as may be required by law. In addition, we will be discussing non-GAAP financial measures on this call, which we believe are relevant in assessing the financial performance of the business. These measures are presented as supplemental information only and should not be considered as substitute for financial information presented in accordance with GAAP. You can find reconciliations of these metrics to the most directly comparable GAAP measures within the press release. Now, let me pass the call over to Matt.
Matt Fisch: Thanks, Jeremy, and thank you all for joining us today on our fourth quarter 2024 earnings call. We appreciate your continued support and interest in our company. 2024 was a transformative year for AEye marked by critical milestones including a new product launch, extended financial runway, increased engagement with OEM customers and expansion into new markets. Apollo, our compact software defined LiDAR sensor has been a significant impetus to our ongoing progress. We first unveiled Apollo last June at the Auto Lidar Tech Conference in Suzhou, China. Since then it has undergone stringent evaluations by OEMs and has begun field testing in additional market sectors. Throughout 2024, we made innovative improvements to Apollo that delivered breakthrough advancements to its sensing capabilities. This past October, we announced that Apollo demonstrated unparalleled high resolution long range detection capabilities at 1 kilometer. Importantly, Apollo has the unique ability to deliver high resolution detection from behind a windshield for high speed automotive ADAS use cases. During the CES show last month, we officially launched Apollo in the U.S. and the response has been overwhelmingly positive. We successfully demonstrated Apollo's capabilities through live test drives, proving that an in cabin behind the windshield implementation is not only feasible but also highly effective. Apollo's unique attributes provide OEMs with a proven solution to alternative roof mounted LiDAR systems that are more complex and higher in cost. Until now, a behind the windshield implementation was not considered viable due to the performance and size constraints of existing LiDAR solutions and I'm proud that our talented team at AEye cracked the code and set a new bar with Apollo. Based on market enthusiasm for Apollo, we were able to raise growth capital and extend our cash runway to mid-2026. With these added financial resources, our strategic partnerships and capital light business model, we have secured the longevity to ramp Apollo into high volume production. As we said on our third quarter call, we expected to ramp the first Apollo manufacturing line with our global Tier 1 partner. This is now proceeding according to plan and the first units are expected to come off the line in the first quarter of 2025. Our relationship with this strategic supplier validates AEye's ability to deliver LiDAR solutions at substantially reduced costs, opening the door to new opportunities with global OEMs. We are also working to produce the first fee samples of Apollo, which is a critical step in the OEM quoting process and also provides a production ready solution for non-automotive customers. Positioning Apollo for mass production remains our top priority for 2025 and we look forward to sharing more details soon. We remain actively involved with global OEMs, expanding our level of engagement to include rigorous testing of Apollo for upcoming programs. Our software-defined architecture, which offers the ability to modify the product quickly in a matter of days, not weeks or months has received accolades from our OEM and other partner engagements. This important capability accelerates the customer's development process, delivering a significant advantage in both time and cost. Turning to NVIDIA, our evolving partnership with this industry leader is helping us to gain access to new OEMs. We have proven that Apollo meets NVIDIA’s rigorous Hyperion autonomous driving platform specifications; an accomplishment which we believe is unmatched in the LiDAR industry. Global OEMs use NVIDIA's Hyperion platform as a foundation for developing their autonomous driving and ADAS systems. Integration onto this platform grants AEye direct exposure to these OEMs and will help them adopt our LiDAR solutions with confidence. Importantly, due to its industry-leading range and resolution, Apollo is gaining traction across a wide variety of sensing applications beyond the automotive space, including in security, rail and intelligent traffic systems. For example, in security applications, Apollo's long range sensing capabilities at high resolution even in low visibility conditions make it standout over alternative options. Thanks to our partners at ATI and LighTekton. We are field testing Apollo for these types of applications in China and are also making similar progress with another partner in the EU. We will continue to explore high value use cases outside of automotive to capture new growth opportunities for Apollo. In closing, I'm incredibly pleased with our accomplishments in 2024 achieving technological and strategic advancements with Apollo while successfully raising capital to bolster our financial foundation. Through our capital-light model and disciplined execution of cash reduction initiatives, AEye has the lowest cash burn rate in the industry, providing a remarkable level of resilience for our business. Heading into 2025, we are well-positioned to meet demands from OEMs which view LiDAR as essential to the future success of their roadmap. With that, I will turn the call over to Conor to provide more color on our financial performance.
Conor Tierney: Thanks, Matt. In the fourth quarter, we continued to build on strong operational momentum that defined our performance throughout 2024. Our disciplined approach to cost management allowed us to outperform our cash burn guidance for both the quarter and the full year. At the same time, we strengthened key strategic partnerships that are expanding our market opportunities and positioning us for long-term growth. A clear highlight this year has been our success in raising capital. We ended the fourth quarter of 2024 with $22.3 million in cash, cash equivalents, and marketable securities. Moreover, we successfully leveraged market enthusiasm for our technology to raise an additional $12.7 million thus far in 2025. Based on current forecasts, this extends our runway to mid-2026 as Matt noted. To put this in perspective, since the beginning of the fourth quarter of 2024, we raised approximately $18 million, which represents nearly a full year of runway at our current cash burn rate. Our strong balance sheet and liquidity should give us ample runway to reach high volume production for Apollo and weather delays in automotive OEM quoting activities. Our manufacturing line with our Tier 1 partner is already ramping up and on track to deliver B samples in the first quarter of 2025. We are heartened by the increased interest that we are seeing for Apollo, underscored by the success of our U.S. launch at CES. Apollo's distinct advantages in range and performance combined with its competitive low cost form factor are attracting attention from customers across multiple sectors including security, rail, and intelligent transportation systems. We're hearing from many OEMs that LiDAR technology is essential to their platforms and the enthusiasm we are seeing from industry leaders further validates Apollo's potential as a game changing technology. Additionally, our evolving partnership with NVIDIA is unlocking new opportunities with automotive OEMs and is supporting our path to commercialization in the automotive sector. I'd like to address our differentiated capital-light model on Slide 8. As you can see, we have very low cash burn and operating expenses compared to our peers and I am pleased to report that we have reduced our net cash burn for the seventh consecutive quarter. Excluding new net financing of $4.6 million, our cash burn for the fourth quarter was $4.8 million, down from $5.6 million in the third quarter and beating our guidance of $4.9 million. Now turning to our fourth quarter's financial results on Slide 9. Fourth quarter's GAAP operating expenses were $9 million, up sequentially from $7.6 million in the third quarter 2024. This was primarily due to higher one-time payroll costs and increased rent expenses resulting from a favorable non-cash adjustment in the prior quarter. These increases were partially offset by lower professional fees. Fourth quarter's non-GAAP operating expenses were $6.8 million, up sequentially from $6.1 million in the prior quarter due primarily to higher one-time payroll costs, which were partially offset by lower professional fees. We reported a GAAP net loss of $8.5 million or $0.93 per share in the fourth quarter versus a GAAP net loss of $8.7 million or $1.01 per share in the third quarter of 2024, beating our internal expectations for the quarter. The decrease in GAAP net loss is mainly due to lower financing related costs in the fourth quarter which were partially offset by the higher payroll and rent related drivers as noted above. On a non-GAAP basis, our net loss was $6.3 million or $0.69 per share in the fourth quarter compared to a non-GAAP net loss of $6 million or $0.70 per share in the prior quarter. Net cash used for operating activities decreased to $4.8 million in the fourth quarter from $5.4 million in the third quarter of 2024. Again, we closed the fourth quarter with $22.3 million of cash, cash equivalents and marketable securities. Including capital raised subsequent to the close of the quarter, our total potential liquidity, which includes cash on hand and our ELOC and ATM facilities is approximately $80 million. Turning to our guidance on Slide 10. We expect cash burn for the full year 2025 to be $25 million slightly up versus 2024, primarily due to increased investments required to ramp Apollo to high volume production. We also expect a sequential increase in costs in the first quarter related to seasonal factors such as one-time payroll related costs. After the first quarter, we expect cash burn to improve each quarter for the remainder 2025. Overall, we are encouraged by our performance in 2024. With a strong balance sheet, industry-leading technology and an extended cash runway, we are well-positioned for sustained growth in 2025 and beyond. With that, I'll pass it back to Matt to wrap things up.
Matt Fisch: Thanks, Conor. After a transformational year marked by incredible progress across the business, we are unwavering in our commitment to innovation, execution, and financial discipline. With Apollo's successful market entry and our extended cash runway, we are well-positioned for future growth. I'm incredibly proud of the AEye team and their commitment to improving road safety and saving lives. Thank you for your time today. We appreciate your continued support and confidence in our vision. We will now open the call for questions.
Operator: [Operator Instructions]. Okay. So your first question comes from the line of Brian Kinstlinger with Alliance Global Partners. Please go ahead.
Unidentified Analyst: Hi, this is Kevin for Brian. Thanks for taking our questions. Could you speak a little bit more about the non-automotive opportunities that AEye is exploring?
Matt Fisch: Sure. Hey Kevin, this is Matt, and thanks for joining us today. It's great to have you on the call first of all, absolutely. Just to put things in context here, when we talk about Apollo, this is really a next-generation LiDAR solution from both a market perspective and also from an AEye perspective as well. So what we talked about on the call, two things. Number one, it's got incredible range and able to detect objects at very high resolution. And second, the form factor, which is also important for automotive is incredibly small. I mean, if you were to look at one of these Apollo units, it has a very similar profile to my cell phone. So why has it sparked so much interest on the non-automotive side. Well, if you think about to read some of the news today, for example, relating to safety and security seeing very far in poor lighting conditions and high resolution allows us to detect very small objects, for example. So security, perimeter security, safety at airports where it's important to see where there's something that doesn't belong in a particular area. Because of Apollo's performance, first and foremost, it's been incredibly popular in that space. And since what we're about seven weeks, six weeks out of CES, we've had so much interest there. We're on the ground now testing with this particular type of use case. China, U.S. and Europe, things are happening very, very quickly in that area. Last but not least, Apollo is a very unifying product for us. It's a set of hardware that works both in automotive and non-automotive because of our software defined LiDAR. We just need to program it differently in each case and we've been able to get out there and react very quickly, get out there in the field across three continents in only six weeks' time.
Unidentified Analyst: Great. Thanks. Just one more, does greater liquidity give you more confidence in meeting OEM financial due diligence requirements?
Conor Tierney: Hey Kevin, this is Conor. I'll take that one. Actually, I'm glad you asked the question because this is fresh in myself and Matt's head right now because we recently went through this process with an OEM and it does for sure. As part of that process, we walk the OEM through our projections, also through our liquidity and that was an important factor in just getting them comfortable, that we would have the resources ultimately to get a follow to high volume production And obviously as part of that liquidity is a major thing. And as I alluded to on the call earlier, we have $30 million right now in cash and cash equivalents and then obviously another $50 million in equity instruments. And that's obviously an important contributing factor to getting OEMs comfortable that we have the runway to get there. I think the other part to that is just our cost structure and our capital-light model and it's just a matter of fact that because of our low capital burn rate, every dollar that we raise, we're able to stretch further. And that's obviously really important in this kind of environment, especially the macro environment where you have high interest rates and it's hard to raise capital. And then obviously just giving some of the challenging environments in the automotive industry right now with timelines pushing out, it's really important to have that light capital runway to be able to stretch out your runway and ultimately roll in line with the same pace that the OEMs are setting. And just a testament to that is, if you look at last year, we've been able to operate very leanly. We brought Apollo to market in less than six months, and we've kept the burn rate below $25 million. So we're out there executing at a very, very low burn rate. And I think that's an important thing to take into consideration.
Operator: Your next question comes from the line of Casey Ryan with WestPark Capital. Please go ahead.
Casey Ryan: Good afternoon, gentlemen. Good progress in the quarter. So congratulations on that. I had a couple questions. A lot of times we're talking about high volume and low volume. Are you able to frame what high volume means? I think other companies have framed it certain ways, but is there a number that we say, oh, high volume means north of 10,000 or north of 1,000 or some level that we can sort of imagine in our minds?
Matt Fisch: Hey, great, definitely appreciate the question. Let me start on this one. Let's put it in context first of all, I'm the only CEO in the LiDAR space has come from the automotive industry. So let's talk about that first, because I think that sort of overshadows the overall volume conversation. But look, what we have going on in the market today outside of China, let's put China aside for the moment. We have -- what would be described in automotive terms is a handful of development programs that are happening out there, okay? It's low volume, meaning in the thousands, maybe there's hundreds of vehicles or maybe a couple of thousand vehicles out there actually running around the roads today and this transition to high volume, if you will, means that an OEM will come an issue. What's called an RFQ or a request for quote or what we're calling a mass production series production vehicle award, which generally starts in the tens of thousands of units and quickly ramps up above 100,000 per year let's say. We haven't seen any of those in the U.S. or Europe yet. And this is where you're going to see us come flying out of the gate as a company, because we work with a Tier 1 that knows how to and has experience, repeated experience of delivering 100,000 or more units in a given year. That's a very specialized expertise that comes over many years of practice experience and school of hard knots learning. I can assure you when it comes time for those RFQs and those automotive production contracts to come out, you're going to see us with a massive advantage because we work with a Tier 1 that knows how to operate at that level. And the OEMs will take that factor into account on the purchasing and supply chain side very, very seriously. No matter how good you are technically, the ability to produce in 100,000 quantities or more on an annual basis is absolutely make or break in automotive. And you're going to see us shine when we get to that point. Thanks to our working model, we join at the hip with a Tier 1 that knows how to do this already.
Conor Tierney: And just to add to what Matt said, I think the other important point is our product was built with manufacturability in mind. So if you think about all the components that are used in the product, we built that product thinking about high volume production. And then the other thing is not everybody can work with the Tier 1. There's a diligence process that has to happen up front. And the Tier 1 knows that you can scale to the millions of units. And that's why I think that's a validation or validation point or an endorsement in itself that we've been able to work and form a partnership with the Tier 1.
Matt Fisch: Yes. Conor’s referring to the three plus years he spent with Continental building our supply chain.
Casey Ryan: Right. Okay, terrific. Well, and then focusing on automotive some more, what you see in the market as far as people putting out bids and sort of looking for partners for this solution, what's your perception about the level of vehicle? Are they sort of like two plus? Are they actually three plus? What's the mix there? Because it doesn't feel like. Well, it certainly doesn't feel like we have any four or five actually happening, right I guess outside of maybe the window or something like that. But what's your sense about where their appetite is in terms of capabilities to put into the cars?
Matt Fisch: Right. Yes, yes. So what we're seeing pretty broadly, we know there's one EV maker out there that hasn't spoken kindly about LiDAR over the last year or so. But let's put that one OEM aside. We're involved with several we said -- we mentioned this last quarter, and every one of them has a Level 3 program on the roadmap, which includes LiDAR and there's been a mix of OEMs that have said so publicly over the last two months and some that have just said so indirectly, if you will, that they're committed to eyes off, hands free and eyes free driving, which really speaks to Level 3. That's the sweet spot that we're seeing. One other part of this is NVIDIA. They are -- they have this platform called Hyperion which is tied to a number of OEMs. In fact, we perform incredibly well there. This is all situation driving, the key missing point for the current generation LiDARs to see at 300 meters, which covers high speed driving. This is where NVIDIA is focusing in this area. They've been vocal about this as well and we've been using them as a proxy for what OEMs are demanding in terms of their next solution. Level 3 is really the sweet spot here and we're engaged with several OEMs on this topic and each one of them has a Level 3 program on the roadmap, which includes LiDAR.
Casey Ryan: Okay. Terrific. And then talking about, well, so tell me where you see opportunities or maybe not. And this is sort of trend wise, right? I know we're not talking about specifics, but sort of outside of consumer auto, sort of talking about trucking and maybe throw RoboTaxi in there, but also vans and sort of bigger vehicles. Do those offer exciting opportunities or are they less interesting because of potential unit size in terms of those markets? But I guess, how much effort are you putting into sort of non-personal car markets, I guess?
Matt Fisch: Right. Look, we are -- I think the best way to look at it is that we're open and highly applicable across all of these markets. Trucking and buses, for example, like you've mentioned, that's a lot of weight to slow down. They're going to have to brake earlier than a passenger car would. So like seeing very far and a great distance is very important for a heavyweight vehicle, especially one that's operating on the highway. In the -- we'll call it in the RoboTaxi domain, you see a lot of expansion out there. So a product like Apollo will be very applicable in that space as well. So we haven't confined ourselves to just that passenger vehicle market, if you will. And as I mentioned earlier, the device is very software adjustable. We're running what if scenarios from one OEM to the next and giving them turnaround times and proof of concept and software in like a few days or a week or week and a half in many cases. So we're able to move very quickly in that regard. We're certainly open to all markets.
Casey Ryan: Okay. And then two last questions. I know I'm taking a lot of your valuable time and I appreciate it. What do you think for passenger cars, sort of like the -- like unit count is, right? Because I think for Level 2, oftentimes where there is LiDAR, it's sort of one sensor per car. And I think sort of the like we're on the street, right, is that Waymo's have six and something between one and six should be the average. But with your solution, maybe we don't need as many. So I'm curious what you think your average kind of per vehicle count might be in terms of sort of a total cost or total revenue opportunity, I guess per vehicle?
Matt Fisch: Yes. Well, look, I think, as you already know, the different markets or the different segments, if you will, have different, wildly different volumes, say RoboTaxi is at one end, which may have multiple LiDARs per vehicle versus passenger vehicles that may have fewer LiDARs per vehicle, but have significantly greater volumes. I'll tell you this while we hunt in all the spaces, where we're really shining is on that long distance highway driving and I'll tell you in the passenger vehicle space, it's a hot topic right now with the OEMs competing to roll out a Level 3 driving service. And typically, you might see one or two LiDARs in those kind of vehicles, but the volumes are much higher than say in the RoboTaxi. Let me tell you why it's interesting for us because one of the things we rolled out and mentioned in the call earlier is the fact that Apollo is operating at 300 meters inside the cabin of the vehicle. So because it's so small, it tucks right up into the sensor form up near the top of the windshield, and greatly decreases the vehicle complexity. You don't have to design a special roof for a car with LiDAR in it. The problem has been that the glass knocks down the range. And because of our unique technology in this regard, especially our 1,550 nanometer laser technology, we have the opportunity to make the vehicle design a lot simpler. You don't have to worry about cleaning, for example, and keeping the front lens of the LiDAR clean. And so we're seeing a tremendous pull on the passenger vehicle side. Lower per car, incredibly higher volumes.
Casey Ryan: Right, right. Yes, which is terrific, I mean and that's just really helpful, I think, refining and sort of for us who are trying to follow you and the overall market. One last question, just about cash spend a little bit. The R&D number, I think, if I wrote this down correctly is somewhere $4 million plus in the quarter. That's not all cash. I'm wondering if you can talk about what the cash spend in R&D is roughly, and if you expect it to be the same and then kind of what -- where the R&D goes in terms of direction. Is it just Apollo support or are we looking at maybe building other technologies that may be needed or asked for by partners down the road.
Conor Tierney: Yes. So I'll answer the first part of the question right now. I would say in general, for the fourth quarter, R&D is probably roughly about half of our spend. If we're thinking about cash versus expense, the cash is probably going to be slightly higher in Q1 just because there's a timing issue. We had some bonuses and we kind of alluded to this on the earnings call. Those will be paid out in the first quarter, but that's just a one-time item. So a normalized spend that we're talking about is roughly probably about 50% of the overall OpEx number.
Casey Ryan: Okay.
Matt Fisch: I'll take the question on future spend briefly. Look, we've got a good hard quarter here ramping our B samples. This is table stakes for formal series production quoting for automotive. So it's a big focus for us, but we're seeing more and more of our engineering going towards customer enabling and integration. So right now, we're still heavily weighted on Apollo go-to-market activities. We are starting to look at what's next, for example, NVIDIA is challenging us in this area, what the next step is. But the biggest shift we're seeing is in go-to-market activities and integration work on the customer side.
Casey Ryan: Right. Okay. Okay. And then I'm not going to be too greedy. I'll ask one last question. You seem to be much more geographically fluid, meaning you sort of are pursuing activity in China, the U.S., obviously in Europe whereas it feels like a lot of vendors are sort of regionalized for some reason. Tell me if that perception is accurate, that you guys do feel like you're more sort of welcome and have opportunities across most of the significant regions whereas some vendors don't seem to be participating in China, right and vice-versa, some Chinese vendors don't seem to be participating over in the U.S.
Matt Fisch: Yes. I think that is a great observation. Our core philosophy is to expand and scale through partnerships, right? It starts with our Tier 1 manufacturing partnership, who by the way, has a global footprint, right? We can do manufacturing in Texas or Mexico or in Taiwan, for example. So -- and our partnership with ATI and LighTekton gives us local manufacturing in China. So number one, the manufacturing partner is critical. And we felt like with one global partner and with one China partner in China, that covers a lot, by the way, the global partner also has manufacturing capability in Germany as well. And then the second piece is boots on the ground, right? When there are engineering problems, software upgrades and things like that that are needed again we've got partners in region that are in this with us, which allow us to feel like we have a lot longer legs, right and can stretch across the globe. So the answer is yes, and we do it by working through partnerships and not trying to do everything ourselves.
Casey Ryan: Okay, perfect. That's helpful. Thank you for the time. It's an exciting start to the year and we look forward to following you as you go through the year. Thank you.
Conor Tierney: Thanks, Casey.
Matt Fisch: Thanks, Casey. Take care.
Operator: Your next question comes from the line of Jesse Sobelson with D. Boral Capital. Please go ahead.
Jesse Sobelson: Hey, everyone thanks for taking my question. Congrats on the approval with Hyperion NVIDIA. Sounds really exciting. One thing I'm curious on is with multiple competitors in the space, I'll talking with OEMs, there's a lot of variability in what's the total LiDAR solution package going to cost, right? So there's been a lot of historical retention on what the pricing per unit could be anywhere from as little as 100 to over maybe 1,000 per unit. Where in these negotiations with the OEMs do you see pricing landing in the near and medium-term?
Matt Fisch: Yes. Like I want to be careful not to speak for the OEMs in this regard, but typically, again, we're talking about next-generation LiDAR, okay, which means that it has to be high performing because next-generation, the pattern that we're seeing is at speed, driving on the highway. That kind of rules out the $100 device, let's just say, because it's not going to have the performance that's needed to function on the highway, okay? Look, we're going to have to -- what we're seeing is a very consistent message about being well below $1,000 sales price, not our cost, but the sales price. And again, it's going to depend on the volumes, right? The OEMs, that there -- if they're looking at lower volumes, they may give a bid on the pricing at scale, when you're looking at this many vehicle lines across many OEMs, it's going to have to be selling for $500 or in that range. And the fact that we're partnered with multi-billion Tier 1 that has incredible supply chain leverage, we think we're going to be unbelievably competitive price wise in this space because of that supply chain leverage. We've got a great architecture that's inherently lower cost. But partner that with an $8 billion Tier 1 that can command premium reductions on components because they're placing orders for other product lines and things like this, we're going to be tough to beat.
Jesse Sobelson: Great. That's good to understand a little bit further. And then the other thing on the auto side, I'm just curious, have you ever guided to a timing from ramp of the Apollo B shipments today to any commercialization with personal auto models in the future and what the materiality would be that you're expecting on like a timing basis?
Conor Tierney: Yes. We haven't given out long-term guidance typically. So I think that's something to stay tuned on. So I don't think we're prepared to go into that right now.
Matt Fisch: I think what I can say is the automotive development cycle is once there's a contract awarded is two to three years.
Jesse Sobelson: Okay, great. All right. Thank you for taking my questions and congrats on your quarter.
Conor Tierney: Thanks, Jesse.
Matt Fisch: Thank you for joining us, Jesse. Take care.
Operator: And that concludes our Q&A session for today. I will now turn the call over back to AEye CEO, Matt Fisch. Please go ahead.
Matt Fisch: Great. Thank you, Operator. Thank you all again for joining our call today. We look forward to providing further updates on our progress in our first quarter call. Have a great day. Thank you.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect. Have a nice day everyone.